Operator: Hello and welcome to Epizyme’s Conference Call. At this time, all participants are in a listen-only mode. There will be a question-and-answer session after the prepared remarks. Please be advised that this call is being recorded at Epizyme’s request.I would now like to turn the call over to Alicia Davis. You may begin.
Alicia Davis: Thank you, and good morning. This morning we issued a press release outlining recent progress and our fourth quarter and year-end 2019 financial results. The press release and slides to which we’ll refer can be found on our website at epizyme.com.On the call today is Rob Bazemore, CEO, Matt Ross, Chief Strategy and Business Officer, Dr. Shefali Agarwal, Chief Medical Officer, and Paolo Tombesi, Chief Financial Officer.Today’s discussion will include forward looking statements related to Epizyme's current plans and expectations which are subject to certain risks and uncertainties. Actual results may differ materially due to very important factors including those described in the Risk Factors section of our most recent form, 10-Q and other SEC filing. These forward-looking statements represent our views as of the call and should not be relied upon as representing our views as of any subsequent date. We undertake no obligation to publicly update these statements.Now let me turn the call over to Rob.
Rob Bazemore: Thank you all for joining us today. 2020 is already off to an incredible start. We have successfully transitioned into a fully integrated biopharmaceutical company, commercializing our first product in the U.S. and look forward to a potential second approval later this year. Our top priority is to maximize the clinical and commercial potential of TAZVERIK to further strengthen our ability to create long-term value.TAZVERIK is now the first and only FDA approved treatment specifically indicated for epithelioid sarcoma patients and the first and only approved EZH2 inhibitor in the market. Within a week of approval, we were shipping drugs to patients. And since then we've seen verification of benefits and calls to Epizyme now not only for patients with ES, but also for patients with other INI1-negative tumors and with follicular lymphoma, or FL. This speaks to the unmet need in these diseases, and the overall favorable profile of TAZVERIK as a new oncology treatment.We have high expectations for the launch of TAZVERIK for ES. In evaluating our execution, we are particularly looking to see rapid adoption of TAZVERIK across all lines of ES treatment. Rapid conversion of ES patients, who have been pre-identified by physicians into new prescriptions, and an increase in the number of eligible patients as a result of educational efforts, aimed at appropriate diagnosis of ES.Our launch in ES allowed the build out of a flexible and efficiently sized commercial infrastructure. It has established our presence in the oncology field and is now being scaled up to support the potential launch in FL, given the recent acceptance of our FL NDA for filing.As strategically intended, we were able to leverage modules from our ES NDA for our FL NDA, streamlining both the submission and review. The FDA has granted TAZVERIK priority review for patients with relapsed or refractory FL, whose disease has progressed following two or more lines of systemic therapy.Importantly, the agency designated our application as a supplemental NDA, for sNDA and granted an earlier than expected PDUFA date of June 18, 2020. Given this timing, we intend to build on our commercial experience with ES to seamlessly launch test TAZVERIK for FL upon approval, and to achieve rapid market adoption among patients with relapsed or refractory disease.We've nearly completed our FL commercial expansion, as well as our market research activities to understand the treatment landscape in order to optimally position TAZVERIK for use in these FL patients.The third line and later approval is only our starting point in FL, and we intend to quickly execute our clinical development plans to generate the data needed to support our goal of making TAZVERIK available to all FL patients in the future.Our confirmatory trial is optimized to establish the benefit of TAZVERIK in the second line setting, and it's open for enrolment. The study to evaluate TAZVERIK in the frontline setting as well as a number of investigator sponsored trials, combining TAZVERIK with commonly used FL agents will also begin this year and provide meaningful data across all treatment lines.Based on our clinical and preclinical experience with tazemetostat, and our extensive knowledge of EZH2 biology, we believe strongly in its potential to treat an even broader range of cancers than we have explored to date, providing multiple opportunities for label expansion.We are working with investigators and academic collaborators to advance a number of clinical studies for tazemetostat as a monotherapy and as a combination treatment for other hematological malignancies and solid tumors, where we believe it has the opportunity to win.Today, we find ourselves at a key inflection point, with a successful transition to a commercial enterprise and a robust set of activities planned for the year ahead. I am very proud of how far we've come and I'm excited for the future of this company.I'll now turn it over to Matt to provide an update on how the TAZVERIK commercial launch is progressing. Matt?
Matt Ross: Thanks Rob. I'm delighted to share some early highlights from our commercial launch, which should translate well into the larger opportunity of an FL indication, should we be approved. Our intention is to make TAZVERIK available to every appropriate patient in the United States. When we announced TAZVERIK’s approval on January 23rd, we committed to making it available to ES patients within 10 days. Thanks to our great team effort, we completed this ahead of schedule and our first patient received TAZVERIK on February 1st.In addition, TAZVERIK was added to the NCCN clinical practice treatment guidelines for soft tissue sarcomas, indicating consensus by NCCN that TAZVERIK is an appropriate treatment option for patients with ES. We are very pleased with this inclusion, and in particular, the speed at which the NCCN expert committee convened and recommended TAZVERIK be added to the treatment guidelines.We estimate that there are about 800 patients in the United States diagnosed with ES of which approximately 300 are eligible for TAZVERIK. It is a rare cancer that is not well known, and is often misdiagnosed initially. A significant part of our commercialization strategy is to help educate physicians on ES that they may provide an accurate diagnosis earlier in the patient's journey.Through this effort, we expect to gain a greater understanding of the true prevalence of ES, which we believe is larger than the current estimates. Our commercial success in ES is based largely on three key factors; supporting TAZVERIK’s wide adoption by physicians as the standard-of-care for their patients. Reaching all eligible patients, and providing them and their prescribers a positive first experience with the brand, and ensuring that patients have seamless access to TAZVERIK through our Epizyme now patient support program. It's early days into the launch, and we are pleased with the physician enthusiasm and desire to prescribe TAZVERIK so far.Epizyme now is fully active, and has been facilitating patient access to new TAZVERIK prescriptions. As we look ahead, there are a number of elements to how we will measure our commercial success, including physician adoption of TAZVERIK, lives covered with no barriers to access, and time to prescription fill.To support these metrics, our customer facing team is making a tremendous effort to generate demand and awareness for TAZVERIK to identify and overcome barriers to treatment and finally, to collaborate with large community provider networks to build educational partnerships on disease testing, and create awareness of the availability of TAZVERIK.In addition, we have established relationships with key national and regional payers and are striving to ensure formulary access without limitation. We have built a plan designed to ensure that all specialty pharmacy patients upon receipt of a prescription for TAZVERIK have their full benefits investigation completed and their prescription filled within five business days.The design of our ES commercial launch strategy, and the expertise of our team will enable us to quickly pivot, but also support the commercialization efforts with TAZVERIK and FL. Follicular lymphoma is a slow growing or indolent form of non-Hodgkin's lymphoma, and accounts for 20% to 30% of all NHL cases. It is usually not considered to be curable and patients can live for many years, while going through multiple lines of treatment.Approximately 14,000 patients are diagnosed annually in the United States, and the overwhelming majority of patients have advanced disease at diagnosis. While many patients will respond to their initial therapy, it will usually relapse and the efficacy, toxicity trade-offs of different regimens are major clinical issues.We conservatively estimate that there are 10,000 to 12,000 patients with relapsed and refractory disease in the United States. Our ultimate intention is to make TAZVERIK available to all FL patients, starting in the relapsed refractory, third line or later setting, and then moving into earlier lines of treatment.We have conducted extensive market research with key opinion leaders, and community based practitioners, to understand their perceptions and treatment decision making process. FL patients are typically diagnosed in their mid-60s. Once a patient progresses treatment decisions are influenced by their age, co-morbidities, performance on previous regimens, and their desire to preserve their quality of life. They face a difficult decision of potentially stopping further treatment, and instead turning to palliative care. The frustration and anxiety patient’s face are compounded by the limitations with today's available treatments. They can take something that's been previously prescribed, use an off-label agent, or consider an approved therapy that requires proactive and intense side effect management, due to black box warnings.Our insights tell us that patients and physicians would value an alternative treatment with product attributes, that demonstrate that it is efficacious, provides durable remissions, and is safe and easy to take, offering them new hope. This is why we believe TAZVERIK is uniquely positioned for this indication, and will be widely and rapidly accepted.Operationally, we have initiated our FL launch readiness activities to ensure our field based team is ready well in advance of our PDUFA date. Our sales leadership team is in place, and we have completed our hiring of our sales representatives all of whom have significant depth, and experience in oncology. We have an important year ahead, and I look forward to sharing more updates as we progress throughout the year.I'll now turn the call over to Shefali, to review our broader, development efforts for tazemetostat. Shefali?
Shefali Agarwal: Thanks Matt. The recent approval of TAZVERIK for ES and the FDA’s acceptance for filing of our FL sNDA are incredibly exciting. Successful execution of both our ES and FL program is imperative. For ES, this includes the on-going global confirmative trial in frontline ES as well as the forced marketing commitments. All of these studies are underway, and we expect to complete the safety portion and move into the efficacy portion of our confirmative study later this year.For FL, because many of the modules in our sNDA including safety are reviewed for ES, we anticipate this review will focus primarily on the clinical efficacy data. The indication we submitted is for patients relapsed or refractory FL who have received at least two prior lines of systemic therapy. The data from our phase 2 trials demonstrated a treatment with TAZVERIK resulted in clinical benefit as assessed by both investigators, and an independent review committee, and has shown to be generally well tolerated in this patient population.In addition to that study, we have multiple investigator-sponsored studies planned or underway to further support TAZVERIK, using the third line or latest setting by combining with commonly used FL treatments, including rituximab, venetoclax and BTK inhibitor.We believe that the same profile that makes TAZVERIK attractive for patient in third-line setting also make it attracted for patient in earlier settings. We have thoughtfully designed our on-going global confirmative trial to compare TAZVERIK with R2versus placebo plus R2for patient in the second-line setting.The study design is supported by data, including the clinical benefit demonstrative by TAZVERIK as monotherapy in relapsed or refractory FL, the mechanistic rationale for combining TAZVERIK and R2, the preclinical evidence suggesting synergy between TAZVERIK and Revlimid and the activity of TAZVERIK when combined with our job in our on-going DLBCL trials.In addition, we intend to enrol patients, who are refractory to reduction in the first-line regiment, population in which we have observed activity in our Phase 2 trial.Further, we have designed the study to include a maintenance therapy state, allowing us to study the effect of continued treatment on extended progression free survival and have implemented an adaptive design to help understand the treatment effects early on through interim assessments, and just the trial based on how TAZVERIK is performing.For all these reasons, we are confident that this combination and trial are optimally positioned, and if successful, will support full approval and a label in second-line FL. We are actively screening patients in the safety line and portion of the trial, which we expect to complete this year.To support our intent to demonstrate benefit in the front-line setting, we are expanding our trial combining TAZVERIK with R-CHOP a newly diagnosed high-risk DLBCL patients who also include high-risk FL patients.Beyond ES and FL, the clinical expansion of tazemetostat is a central effort this year, which we will execute through both in-house and collaborative efforts. We know that EZH2 plays a role in many cancers and have conducted a comprehensive analysis to identify patient population and treatment settings where we believe, we can demonstrate benefit with tazemetostat.There are four tumor types where we see the greatest opportunity, all of which are based on strong scientific rationale and the need for new, effective and safe treatment options. The first is in hematological malignancies, particularly lymphomas and other b-cell malignancies, such as DLBCL, CLL and CML because of the role EZH2 plays in b-cell biology.Regardless of the oncogenic mutations, these cancer cells are governed by EZH2 expression which enables their growth and proliferation. By inhibiting EZH2, we believe we can inhibit tumor proliferation leading to anti-tumor activity as seen in FL patients with wild-type EZH2.The next area of focus is a mutationally defined solid tumor, such as chordoma, melanoma and tumors with a SWI/SNF alteration or other mutations. In these tumors, a loss of certain proteins or the presence of certain mutations can -- normally EZH2 activity or the graduated dependence on EZH2, which leads to cancer cell growth.By innovating EZH2 with tazemetostat we believe we can innovate that abnormal function, selectively restoring cells to their natural state. The third type is solid tumors as a resistance to chemotherapy, such as triple negative breast, small cell lung, ovarian cancer and mesothelioma. When chemo is given, DNA becomes damaged resulting in abnormal or overactive EZH2 activity, which is involved in the transcription [ph] reprogramming at least to chemo resistance and increased cancer cell survival and growth.By treating with an EZH2 inhibitor, we believe we can resensitize cells to chemotherapy. We also know that EZH2 plays a role in the resistance to PARP inhibitors. When PARP inhibitors are given DNA is damaged, which leads to EZH2 activity in the midst of responsiveness to PARP inhibitor.By blocking EZH2 to tazemetostat, we believe we can also resensitize tumors to a PARP inhibition. The fourth area for tazemetostat development is in tumors with EZH2 inhibition may augment response to immune-oncology treatment.Pre-clinical data suggests tazemetostat may enhance anti-tumor immune-response by interfering with multiple EZH2 functions in the cells. By inhibiting EZH2 we can influence biological activity in the tumor microenvironment, which can enable tumors to be more sensitive or desensitize to immune-oncology test.This life cycle development of tazemetostat is strategic to the future value creation of Epizyme. Today, we have 12 clinical investigations underway, which include a global, multi-center randomized Phase 1b/2 evaluating tazemetostat in combination with enzalutamide or abiraterone plus prednisone in chemo naive patients with metastatic castration-resistant prostate cancer.We plan to have an additional four studies up and running this year, including the planned combination trials the PARP inhibitor following completion of preclinical work that will guide the design of the study, a selection of which PARP inhibitor we’ll use.With a strong preclinical and clinical data, supporting the role easiest to place in all four of these tumor types and we believe tazemetostat had an opportunity to meaningfully address this area for patients. We look forward to providing an update on these studies as the year progresses.I now turn the call over to Paolo to review our financials.
Paolo Tombesi: Thanks, Shefali and good morning everyone. Earlier today, we issued a press release with both our fourth quarter and full year 2019 financial results. So I will cover just a few highlights. Throughout 2019, we utilized a number of vehicles to bolster our cash position to ensure we maintain adequate funding to support the full breadth of exciting opportunities we have just shared, but also supporting the growth of our pipeline and our organization.This included an equity raise of $172.5 million in March of 2019, followed by funding agreements with Royalty Pharma executed in November. Royalty Pharma conduct a deep due diligence before making an upfront equity investment of $100 million along with other options.Following these raises and with a diligent focus on financial discipline, we started 2020 in a very strong cash position with $381 million in cash, cash equivalents and marketable securities as of December 31, 2019. Notably, this cash balance does not include additional $50 million based through the exercise of equity put option with Royalty Pharma executed in January.As a result, we started this year with more than $430 million of cash and cash equivalents. Furthermore, under separate agreement with Pharmakon Advisors, an affiliate of Royalty Pharma, we established a $70 million loan facility with a three-year interest only period intended to fund the four regulatory milestone we owe to Eisai. This loan is expandable by up to an additional $300 million if we receive approval of TAZVERIK in FL.Turning to revenue, we will begin reporting product revenues in the first quarter since TAZVERIK was approved in January. We recognized $23.8 million in collaboration revenue in 2019, which reflects milestone payments achieved from Boehringer Ingelheim under our monthly target research collaboration along with the condition of the development milestone from GlaxoSmithKline for its PRMT1 inhibitor which was discovered by Epizyme.Our GAAP operating expenses for 2019 were $201 million. Of that R&D expenses were $132.6 million which included the initiation of our two global confirmatory trials, and early expansion of our tazemetostat development program. Note that this also includes $20 million in milestones paid to a Esai for the ES and FL NDA submissions, which were funded through the loan facility provided by Pharmakon.SG&A expenses for 2019 were $68.3 million which included the build-out of our infrastructure to support the launch and commercialization of TAZVERIK for the ES indication, as well as initial expansion to prepare for FL commercialization in the U.S.As we look ahead, we have a robust set of activities planned for 2020, which will impact our expenses for the year. We expect GAAP operating expenses to be between $300 million and $330 million. This includes $50 million in milestone payments to Eisai for the TAZVERIK approval for ES and then anticipated approval for FL later this year.Importantly, a cash component of our operating expenses is expected to be between $235 million and $255 million, which is almost evenly split between R&D and SG&A. The year-over-year increase in R&D expenses mainly reflects advancement of our two global confirmatory trials, our post-marketing commitment for ES and the greater lifecycle expansion of tazemetostat.We anticipate that several of these studies will be sponsored by investigators or conducted through academic collaboration, which will enable us to partially offset our R&D expense while continue to expand our tazemetostat programs to maximize its value.Our SG&A expenses in 2020 are expected to increase with the recent launch effort for ES, and the scale up of the organization to support the anticipated launch and commercialization of TAZVERIK for FL. We anticipate that we'd also see an increase in our manufacturing expenses, as a result of the commercial inventory discussed and the continued clinical drug supply for our ongoing studies.We are well-financed today with cash and cash equivalents to support our current operating plans into at least 2022. This runaway does not include any milestones that may be achieved through our research partners and business development activities and expansion of the credit facility with Pharmakon, all of which we plan opportunities to further bolster our balance sheet. We stand in a great financial position and do not see the need to pursue an equity financing in the foreseeable future.With that, I'll pass the call back over to Rob.
Rob Bazemore: Thank you, Paolo. This is a remarkable time for Epizyme as we execute on our vision. 2020 is off to a roaring start and we have a number of exciting milestones this year, including two commercial launches of TAZVERIK in two distinct indications.We also have ambitious, but deliberate expansion plans for tazemetostat, as we believe strongly in its potential to meaningfully impact a broad range of cancers. I'm confident in our ability to execute these goals so that we may continue to create meaningful new options for the patients we strive to serve and meaningful value for our shareholders.Thank you all for joining us. And we'll now open the line for Q&A.Thank you. [Operator Instructions] And our first question comes from Mohit Bansal with Citi. Your line is open.
Mohit Bansal: Great. Thanks for taking my questions. And congrats on the progress.
Rob Bazemore: Thank you, Mohit.
Mohit Bansal: Great. So, couple of questions from my side. On slide number 10, you do talk about -- you kind of divide the market in kind of first-line, second-line, how the opportunity would increase. Could you provide us some numbers behind for the third-line treatment market, which you'd have the initial label for in follicular lymphoma? How many patients are we talking about here? And what's your European strategy there as well?
Matt Ross: Mohit, it's Matt. Thanks for the question. So as we've shared in the call, our goal of course is to make TAZVERIK available to all FL patients across all lines of treatment. In the first-line treatment setting, we know that there's roughly 14,000 patients that are newly diagnosed each year. And then for those patients that relapse or have refractory disease, the population is estimated to be between 10,000 and 12,000 patients. With regard to the third line opportunity with specific insights that we're continuing to refine as we go through our research, we think that roughly there is anywhere between roughly 6,000 patients that we think are reasonable in the context of the third line space which is consistent with the consensus numbers that are out there right now.
Rob Bazemore: But we know, Mohit, that's 10,000 to 12,000 number that we cite on the slide. Those are patients who move beyond first-line therapy. We think most of these patients ultimately, because this is a non-curable, its an incurable disease, most of those patients do eventually move through multiple rounds of therapies as they continue to relapse to the treatments that they're on.
Mohit Bansal: Got it. And then, in terms of European strategy, what are the plans there?
Shefali Agarwal: So, in terms of the -- hi, Mohit, this is Shefali. In terms of the European strategy, we wanted to just align on the FDA. Now that we -- as you know our NDA has been accepted as an sNDA with a PDUFA date of 18th June. We are engaging -- we are in the process in engaging European regulatory authority to understand our plan. We have conducted many advisory boards and also trying to understand the path forward for Europe.
Mohit Bansal: Got it. And if I may ask one more on the prostate cancer side, seems like your competitors -- or Constellation at least has some data in prostate cancer. What we can learn from their data for your own program? As well as how do you -- are there any differences in molecules which could be eventual differences? How are you thinking about that opportunity?
Rob Bazemore: Yes. Mohit, I'll start with just talking about the differences between the molecules. They've not published a lot about the molecule that gives us insights into their PK and pharmacodynamics things like that. One thing we know about the drug just in terms of the differences is just that it's the three times a day administration compared to twice a day. But I'll let Shefali talk a bit about the way we're doing this. There are specific things that we want to earn as we go through that will help and inform the next stage of the study and Shefali can talk about what we're hoping to learn from the Phase 1 component before we move into the Phase 2 component.
Shefali Agarwal: So the phase 1 portion is the safety portion. So we would be studying both abi and enzyme combination and trying to understand the dose. We will also be collecting biomarkers retrospectively and looking at PD markers to understand what specific population, the combination would work. And once we have that understanding with preliminary efficacy and the biomarker, we would then move to the randomized portions. So that will help us guide which population we want to go and have data in the second part or the randomized portion of the study.
Mohit Bansal: Good. Helpful. Thank you very much.
Operator: Thank you. And we have a question from Michael Yee with Jefferies. Your line is open.
Michael Yee: Great. Thanks for the question. Congrats on all the progress guys. I know, you guys are hard at work on the ES launch and while that's important obviously it's a bit of a pregame into follicular lymphoma. Assuming approval in follicular and a broad label, could you maybe talk to how the strategy evolves as you are mostly targeting sort of big cancer centers now where a lot of the ES patients are? And then how that transitions or to what importance the transitions, also to expand to community centers, perhaps where maybe if there's a lot of follicular patients. So, maybe just talk to the dynamic of a launch in follicular and sort of how it evolves in big centers versus communities?And then, one quick second question is just -- I know there's a lot of different indications you guys mentioned here. Of course, the last question is about prostate cancer. Can you maybe just describe, I guess what data if any we could get this year. Is that Phase 1 prostate data? Is it DLBCL data? Maybe just what data we should pay attention to this year that we could get? Thank you.
Rob Bazemore: Yes. Certainly Mike. So let me start at a very high level. Then I'll let Matt talk about the commercial strategy and how that's going to evolve as we launch into FL. And then Shefali can speak to the data. This is a big year for the starting studies, but we'll also have a lot of big milestones along the way on those trials as they move from one stage to the other. At really high level on the strategy, we're really pleased that the FDA accepted this follicular lymphoma NDA as a sNDA. Our plan had always been that would be -- with the ES NDA, that the number of the modules would be cross-referenced such that they review for FL would be -- it would be a much more efficient review. And we had hoped that that would help, pull the review time in and help us achieve a launch earlier in follicular lymphoma.We've achieved exactly that with this now being officially named a supplemental NDA. So our PDUFA date is in June. So we're very pleased about that. I think the other is with the launch of ES. Many of the programs that we've put in place to help ensure patient access, that the patients first experience with the drug is a positive one. Those are all things we're doing right now. As you always expect with the launch you find that there are a little bit hiccups and we're having the opportunity to solve for those and make sure everything is streamlined. So that by the time the FL indication is approved, if it's approved by the FDA. All of those things are in place. It then makes payer access so much easier and quicker if we get there. So that was always a part of the strategy of launching in epithelioid sarcoma first. I'll let Matt talk about how the strategy changes and how we're evolving the commercial organization, which was built from the beginning, anticipating an FL launch, but how it now changes a bit as we prepare for the FL approval.
Matt Ross: Sure. Good morning, Mike. Thanks for the question. As you rightly point out follicular lymphoma is a more of a community based disease setting. So as we've talked in the past, the roll around ES was to have those institutions that were responsible for managing the epithelioid sarcoma patients, the field-based structure of around 19 people were going to ultimately be pivoting this year to get ready for the FL market opportunity given the fact that we'll be spending more time in the community practice setting. With regard to that, we've completed all of our sales force hiring. So, our sales organization will be expanding.We have actually completed all of the hiring and we're -- I'm happy to share that we've identified 47 very talented individuals that will be coming on board to join our organization to be prepared well in advanced of the PDUFA date. As Rob has referenced, that's in mid-June. But given the fact that we've been able to cross-reference the other modules as it relates to the ES filing, we want to be ready which is why we've accelerated our FL preparations. So these community based field team will now be in a position to accept the high volume clinics in the community where these patients are treated.
Shefali Agarwal: And then Mike, this is Shefali. Just answering your question in terms of the data. So, our focus this year is definitely to execute on these trials, especially the confirmatory trials that we have to do, as well as starting other ISTs and company-sponsored trials. Most of these trials we will have the safety portion of the studies completed including the two, ES and FL studies in the second-line, as well as ISTs and the prostate study. So we expect to have later this year. And then moving on to the expansion portion of efficacy part of the study. We have not guided on the presentation part. We will be all dependent on when the studies complete and when it will be submitted.
Rob Bazemore: So I think between all that Mike, and the other part of that, I'll sort of wrap it up with a higher level strategic answer. All of what we described both the work to expand our commercial organization to be prepared to launch in follicular lymphoma. The increase in the development activity for TAZVERIK which we believe is very important, ultimately to adding to the value of the company, but also value to patients. All of that is now baked into the runway that we've -- that Paolo describe which is at least into 2022.We were fortunate to be able to close on the put option that we had with Royalty Pharma just at the beginning of the year, this year. And so that extends our runway even further. And so our runway now is at least into 2022, as we become a commercial company.
Michael Yee: Thanks guys. Appreciate it.
Operator: Thank you. Our next question comes from David Lebovitz with Morgan Stanley. Your line is open.
David Lebovitz: Thank you very much for taking my question. Piggybacking on the last question. When you look towards potential launch in FL and going into the community setting. What type of trajectory should we be thinking of going into that population?
Matt Ross: Good morning. I mean I think the first thing to think about is of course the high level of unmet need that's related to the patients that are living with follicular lymphoma, and particularly in the relapsed and refractory setting for those who have failed two prior lines of therapy. So roughly speaking we can -- well, actually -- we can actually say that it's a highly fragmented marketplace with about a third of the patients that are actually being treated with PI3Ks. The balance of the treatment opportunity is with off label therapies, recycled chemotherapies are in fact clinical trials.So, when you look at the profile of TAZVERIK we are very confident that there will be meaningful and rapid adoption in the later line setting. Again because the attributes the physicians are seeking are those that show that the drug is effective. That the duration of the response that's associated with these patients is meaningful approaching at least a year and that it's safe. So when we think about uptake, we certainly believe that we'll have meaningful uptake in both the mutated-bearing population of patients as well as the wild type segment and we would see that right upon approval.
David Lebovitz: Thanks for taking my question.
Operator: Thank you.
Rob Bazemore: I think just to add to that David maybe one other comment. Just the observation that we've seen and I -- David, in my opening remarks that even in the time that we've been approved for epithelioid sarcoma, the hotline that we have made available to patients for access the verification of benefits that we've seen coming in ranges not just for epithelioid sarcoma, but we've also seen already verification of benefits for patients with follicular lymphoma, as well as patients who have other INI1-negative types of tumors.
David Lebovitz: Thank you.
Operator: Thank you. And our next question comes from Leland Gershell with Oppenheimer. Your line is open.
Leland Gershell: Hey, good morning. Thanks for taking my question. And good to see the progress. I actually want to ask based on just taking from the last question, the use of taz in the other tumors, FL, which lines of therapy? Which combinations are we seeing? I know it's early days and the approval is only in ES at this point. But just curious to know what you're seeing in terms of use patterns already in some of these other settings. And also any reimbursement challenges that you've run into? Thanks.
Rob Bazemore: Yes. I'll start with a very high level. Then Matt get into more specific. But I think your point is right. It's very early. We're just a couple of weeks into the launch. I was interested to see that the very first verification of benefit we got after the approval was actually a patient who had second-line follicular lymphoma. So I think that was an indication of what adoption might look like as the drug is now commercially available. But it is early days. I'll let Matt speak a little bit more about what we've seen in the first few weeks.
Matt Ross: Yes. I mean, so, with regard to ES, we're really pleased as we referenced on the call from the moment the product was approved to first prescription that came on February 1st. So our field-based team is been actively working with the ES treaters, and there's a lot of enthusiasm around TAZVERIK and what it will be able to provide for the epithelioid sarcoma population. As Rob mentioned, there's certainly been an inquiry about the role of TAZVERIK in follicular lymphoma for the unmet need reasons we've spoken about in the past. And so we would anticipate that that's only going to continue as we get closer to the second approval later in the first half of this year.
Rob Bazemore: We've been pleased. I mean our goal was to -- as Matt said in his opening remarks to make sure we had drug available within 10 days of the approval and within a week we already had the first prescription where we had shipped to a patient. And one of the big metrics that we're following is the time from when we get the initial request to time of shipment. We're trying to make sure that we're averaging five days for that.
Matt Ross: And just a follow-up on the -- any challenges with the payer community. We've not had a challenge with the payers. We're very pleased with the performance and the speed in which they've adopted TAZVERIK into formularies and we're just continuing to execute against the plan.
Leland Gershell: Thanks. And that's helpful. That just a quick question for Shefali. This may have been asked. But in terms of the prostate cancer data when might we see the first reveal from the studies in prostate? Thanks.
Shefali Agarwal: So, in terms of the study, the study is ongoing. We actually have enrolled patients. We in the safety portion of the study. The safety portion of the study is planned to be completed this year. And moving on to the proof-of-concept randomized study. So we would hope or we would expect to get the safety data. We haven't guided on the timing of the data.
Leland Gershell: Okay, great. Thanks for taking the questions.
Operator: Thank you. [Operator Instructions] We have a question from Yaron Werber with Cowen. Your line is open.
Unidentified Analyst: Good morning. This is [Indiscernible] in for Werber. Congrats on the quarter and thanks for the questions. I just have a few questions. First question as for the -- your guidance in 2020 for the OpEx, is 300 to 330. Can you help us think about the OpEx for the following years? How shall we think about the run rate for R&D and SG&A? And also to the second question. Can you help us understand what you are trying to show in terms of the additional benefits by adding taz to R2 or R-CHOP in second-line or first-line FL? Thank you.
Rob Bazemore: I'll start by having Paolo address your first question and then Shefali can address the second.
Paolo Tombes: Yes. Hi, good morning. So in terms of OpEx we just announced this morning during the call that for this year we are expecting a range between $230 and $255 million. We are not giving direction for the following year. I think this year as we mentioned there is a quite an inflection point for SG&A because we are building up the organization and the field force to continuing the ES launch and expecting the eventual FL launch. And also for R&D or the confirmatory trials also the lifecycle management. So for this year we gave these directions and with these we also assume run way with our cash position at the beginning of the year at least in 2022. But we are not giving guidance for the following years.
Shefali Agarwal: And then following up on your question regarding the R2, I think just going on in terms of defining why we are doing the study. This study was very strategically important to us as you know R2 has become the standard of care in second-line. Our plan was to actually move in other lines with the label expansion. So the plan was to do a confirmatory trial in R2 and second line and that trial is important because we really are believe in the combination based on the preclinical evidence that we have and we combine with lenalidomide. It is a data with R-CHOP combination, DLBCL that we were able to show preliminary activity. And so, we are doing a very innovative adaptive design where we have an opportunity to look at different interims and adaptive design.Our hope to provide additive benefit to R2 in combination with our R2 and then compare it with R2. We also have a maintenance portion of the study. As you know that we have shown in third-line and beyond that patient continued beyond progression, illogical progression. And we believe that because of the profile that Matt and I have been talking about, because of the safety profile and continued benefit, we believe maintenance would really add benefit in this study and would be important for us.In terms of following up on your second question with R-CHOP. We have presented the combination with R-CHOP in DLBCL, high-risk DLBCL patients in ASH 2018 where we showed that we could combined at full dose tazemetostat and R-CHOP. And so we are going to add an arm with high-risk FL patients as well, because as you know that R-CHOP is used in front-line FL. And so, our plan is to actually provide value of tazemetostat across all lines of FL starting with frontline FL, R-CHOP combination R2 in second line and then approval in third-line and beyond.
Unidentified Analyst: Okay. That's helpful. Thank you.
Operator: Thank you. And I am not showing no further questions. At this time I'd like turn the call back to Mr. Rob Bazemore for any closing remarks.
Rob Bazemore: Okay. Well, thank you all for your questions and for joining today. As you heard, this is a incredibly exciting time for Epizyme. We're exciting about how we're starting off the year this year. We thank you for your support, enthusiasm for the company and we look forward to many milestones ahead this year. Thanks everyone.
Operator: Ladies and gentlemen, this concludes today's conference call. Thank for participating. You may now disconnect. Everyone have a great day.